Operator: Welcome to the First Quarter 2014 BGC Partners Incorporated Earnings Conference Call. My name is Ellen and I will be your operator for today's call. At this present time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. Please note that this conference is being recorded. I will now turn the call over to Jason McGruder, Head of Investor Relations.
Jason McGruder: Good morning. Our first quarter 2014 financial results press release was issued this morning, which can be found in either the news section or Investor Relations sections of our website at www.bgcpartners.com. During today's call, we will also be referring to presentation that summarizes our results, which includes other useful information. This too can be found at the Investor Relations section of our website. Throughout today's call, we will be referring to our results only on a distributable earnings basis. Please see today's press release for GAAP results. Please also see the section of today's press release entitled distributable earnings, distributable earnings results compared to GAAP results, reconciliation of revenues under GAAP distributable earnings and reconciliation of GAAP income to distributable earnings for a definition of these terms and how, why and when management uses them. Unless otherwise stated, whenever we refer to the income statement items such as revenues, expenses, pre-tax earnings, post-tax earnings, we are doing so only on a distributable earnings basis. Unless otherwise stated, all results provided in this document compare to first quarter of 2014 with the year-earlier period. In addition certain revenue items and non-financial metrics have been adjusted for prior periods to conform the current reporting methodology. These adjustments had no impact on overall revenues or earnings for either GAAP or distributable earnings. On June 28, 2013, BGC sold fully electronic trading platform for benchmark U.S. Treasury Notes and Bonds to NASDAQ OMX Group, Inc. For purposes of today's call the assets sold are referred to as eSpeed, and the businesses remaining with eSpeed BGC that were not part of eSpeed are referred to as "retained". Also Newmark Grubb Knight Frank is synonymous with NGKF or Real Estate Services. I'll also remind you that information on this call contains forward-looking statements within the meaning of Section 27A of the Securities Act of 1933 as amended and Section 21E of the Securities Exchange Act of 1934 as amended. Such forward-looking statements include statements about the outlook and prospects for BGC and for its industry as well as statements about our future, financial and operating performance. Such statements are based upon current expectations that involve risks and uncertainties. Actual results, performance or achievements could differ materially from those contemplated, expressed or implied because of a number of risks and uncertainties that include, but are not limited to the risks and uncertainties identified in BGC's filings with the U.S. Securities and Exchange Commission. We believe that all forward-looking statements are based upon reasonable assumptions when made. However, we caution that it's impossible to predict actual results or outcomes or the effects of risk uncertainties or other factors on anticipated results or outcomes and that accordingly you should not place undue reliance on these statements. Forward-looking statements speak only as of the date when made and we undertake no obligation to update these statements in light of subsequent events or developments. Please refer to the complete disclaimer with respect to forward-looking statements and Risk Factors set forth in our most recent public filings in Form 8-K, 10-K, and 10-Q, which we incorporate today by reference. I would like to turn the call over to your host, Howard Lutnick, Chairman and CEO of BGC Partners.
Howard Lutnick: Okay, Jason. You have a lot to read I know. Good morning and thank you for joining us for our first quarter 2014 conference call. With me today are BGC's President, Shaun Lynn; our Chief Operating Officer, Sean Windeatt; and our Chief Financial Officer, Graham Sadler. BGC's post-tax distributable earnings per share increased 25% and pre-tax distributable earnings were also up 25% a gain of over $11 million. This growth was achieved despite the sale of eSpeed, which had generated $24.8 million in revenue and $14.4 million in pre-tax profit in last year's first quarter. Our growth was led by the strong performance of Newmark Grubb Knight Frank. Real estate brokerage revenues grew by almost 50% year-over-year, driving a surge in NGKF's pre-tax distributable earnings of over 500%. We expect the acquisition of Cornish & Carey Commercial to close during the second quarter of this year. Cornish is the leading commercial real estate services company in the important Bay Area and Silicon Valley markets. And tradition will enable NGKF to broaden its scope and depth of its offerings to clients in Northern California and across the United States. In our Financial Services business, this morning we announced our agreement to acquire Remate, the leading Mexican inter-dealer broker focusing on interest rate derivatives and fixed income. We also continued to make key hires across our businesses. We expect these additions to be accretive to earnings per share beginning in the third quarter of 2014. These investments underscore BGC's ongoing commitment to make accretive acquisitions and profitably hire and we are confident in our ability to utilize our capital to achieve strong revenue and earnings growth going forward. BGC's cash position was $717.2 million at the end of the quarter and we also expect to receive an additional $500 million in NASDAQ OMX stock overtime. We expect the companies we buy and the producers we hire will generate a greater return in our cost of capital and obviously a much higher return than we currently earn on our cash. In addition we expect to accretively repay debt; we purchase common share in units, and maintain our regular common dividend for the foreseeable future. Our board declared a $0.12 qualified dividend for the first quarter, which at yesterday's closing price represented a 6.7% annualized yield. With that, I will turn the call over to Shaun.
Shaun Lynn: Thanks, Howard, and good morning everyone. BGC's financial services business generated revenues of $287.1 million and $59.1 of pre-tax earnings. A year earlier, excluding eSpeed we generated $300.3 million in revenues and $49.7 million in pre-tax profits. Last year eSpeed represented $23.6 million in revenues and $14.4 million of pre-tax earnings in the segment. By the end of this quarter we reduced our financial services front office headcount by 9% year-over-year primarily focusing on underperforming brokers. While this contributed to our financial services revenues declining by 4.4%, it also led to our revenue per broker sales person increasing by 4%. This improved front office productivity, along with our efforts to reduce expenses, led to our financial service pre-tax distributable earnings margins expanding to 20.6% from 19.8% a year earlier. Excluding the assets sold to NASDAQ OMX, our profits actually increased by approximately 19% year-on-year in financial services. Looking at results by assets class, our revenues from rates products, excluding eSpeed, were down by 12% in the quarter to $113.7 million. In comparison interest rate volumes were down by 12% at Eurex and 26% at Euronext. While CME rates volumes increased our revenues are now less correlated than the CME following the NASDAQ OMX transaction. While our fully electronic credit revenues increased by over 50%, overall credit revenues declined by 5.3% to $65.4 million. This reflected continued challenges facing the interdealer credit sector due to ongoing regulatory uncertainty and increased bank capital requirements. For example dealer-to-dealer credit derivatives outstanding declined by 30% year-over-year at the beginning of April according to the DTCC. Our higher margin fully electronics spot FX revenues were up by 6% whereas BGC's overall foreign exchange revenues declined by 12.3% to $52.1 million. The overall FX market continued to be affected by the personnel and regulatory issues confronting a number of banks. Although BGC's performance in this asset class was better than the comparable FX volume declines of between 14% and 37% reported by Reuters, CME, and EBS. Global equity derivatives and energy markets were mixed in the quarter. For example, equity derivative average daily volumes were down by 4% and 22% respectively according to Eurex and Euronext. Total Eurex equity auction turnover increased by 8% according to the OCC and energy volumes were relatively flat per the CME and ICE. In comparison BGC's revenues from our energy and commodity desk increased by approximately 75%. Although starting from a small base; the impact of our recent acquisition and new hires will drive continued growth of this asset class throughout this year. Our overall revenues from equities and other asset classes, which include these desks increased by 7% to $42.8 million. Excluding eSpeed, financial services electronic trading market data and software revenues increased by 3.3% to $23.5 million or 8.2% of segment revenues in the quarter, compared with $22.7 million or 7.6%. Our overall quarterly performance in fully electronic trading was tampered by the difficult global market condition and foreign exchange I mentioned earlier. Our retained fully electronics products generated a pre-tax profit margin of approximately 53% in the quarter and their revenues have grown faster than our overall financial services business for the past several years. We ended March with 1,497 brokers and sales people in financial services, down 9% from 1,641 a year earlier. Excluding eSpeed, our average revenue per financial service broker sales person increased by 4% to $184,000. With respect to our real estate services, industry metrics continued to move in a positive direction in the first quarter. According to the most recent figures from Real Capital Analytics and CoStar sales and leasing activity leasing activity both improved by around 15% in the U.S. While we benefited from positive industry trends, we believe that NGKF once again made strong market share gains. Our real estate brokerage revenues improve by 47%. Management services and other revenues were up by 1.3% and overall revenue improved by 31.2%. During the quarter, NGKF also moved up one position to number four in the National Real Estate Investor's Magazine ranking the top U.S. commercial leasing firms and moving to the top 10 on Real Capital Analytics list of national commercial real estate sales brokers. Our real estate NGKF significant outperformance was driven by strong double-digit percentage improvements from leasing advisory, Global Corporate Services, and capital markets. We had 888 real estate brokers and sales people at quarter-end, down 1% compared to 894 a year earlier. But the statistic we're most proud of is our average revenue per real estate broker which is up 47% to $125,000. With that, I would now like to turn the call over to Graham. Go ahead Graham in case you can stop that.
Graham Sadler: Thank you, Shaun and good morning everyone. BGC generated revenues of $445.9 million, down 0.9% compared with $449.8 million. The first quarter 2013 included $24.8 million in revenues from eSpeed. Our revenues from the Americas were up approximately 18% excluding eSpeed. Revenues from Europe, Middle East, and Africa were down by 10% and the Asia-Pacific revenues decreased by 8%. Turning to consolidated expenses, compensation and employee benefits were 61.8% of revenues compared with 61.7%. Our compensation ratio was essentially flat despite a larger proportion of revenues coming from real estate. Non-compensation expenses were down by 12.8 million or 10.1% and were 25.6% of revenues compared with 28.3% and that Shaun is my statistic. The decrease in our non-compensation expenses was across nearly all of our GAAP line items due largely for our ongoing cost reducing program as well as the lower financial services revenues and the sale of eSpeed. An exception within occupancy and equipment which increased due to GAAP charges we took related to impairment of fixed assets and consolidation of our real estate, both of these items were related to our ongoing expense reduction program. We are confident that we will achieve our target of reducing total expenses companywide by at least $100 million annualized by the end of 2014 as compared with the second half of 2012 run rate. This comparison excludes the impact on any acquisitions or significant ties completed or closed in 2014. Our pre-tax earnings were $56.2 million, up 24.7% when compared with $45.1 million. Our pre-tax margin this quarter expanded to 12.6% compared to 10%. BGC's effective tax rate for distributable earnings was 15% versus 14.5%. Our post-tax distributable earnings increased to $47.2 million or $0.15 per fully diluted share compared with $38.5 million or $0.12. Our post-tax earnings margin improved to 10.6% compared with 8.6%. BCG had a fully diluted weighted average share count for distributable earnings of $362.1 million in the first quarter 2014 and $322.1 million under GAAP. These compare with $357.5 million for distributable earnings and $317.8 million for GAAP a year earlier. Our share count is only up 4.6 million shares or 1.3% from one year ago. The GAAP checkouts were lower than that of distributable earnings in both periods because they excluded certain share equivalents in order to avoid and to dilution. As of March 31, 2013, our fully diluted share count was 362.3 million, assuming conversion of the convertible senior notes into 40.1 million shares. As of March 31, 2014, BGC's cash position, which we define as cash and cash equivalents, marketable securities and unencumbered securities owned held for liquidly purposes were $717.2 million. Notes payable and collateralized borrowings, and notes payable to related parties were $408 million. Book value per common share was $2.04 and total capital, which we define as redeemable partnership interest, noncontrolling interest in subsidiaries, and total stockholders' equity, was $747 million. In comparison, as of December 31, 2013, our cash position was $795 million. Notes payable and collateralized borrowings, and notes payable to related parties were $408.4 million. Book value per common share was $2.15; and total capital was $769.7 million. BGC's cash position decreased from year-end 2013 primarily due to cash used to pay taxes, $22 million used to reduce fully diluted share count by 3.3 million, and cash used for the HEAT acquisition. We have now largely paid for all the distributions and taxes related to the NASDAQ, OMX transaction which we had indicted in June be around $290 million. This means that the majority of our cash balances available for us to use to invest in our businesses make accretive acquisitions pay down debt, and will maintain our dividend. With that I'm happy to turn the call back over to Howard.
Howard Lutnick: Thank you, Graham. Our revenues for April including NGKF but excluding eSpeed are tracking down around 2% compared with the year earlier. However the Easter Holiday was in April this year while last year it fell in the first quarter. And in addition the second quarter this year has one less trading day if you are comparing it to the last. So with that in mind our second quarter 2014 outlook is as follows. We expect to generate revenues of between approximately $420 million and $440 million which compares to $471 million last year. However a better comparison excludes eSpeed from last year and therefore revenues would have been $447 million. We expect pre-tax distributable earnings of approximately $47 million to $55 million and this compares to $53.8 million last year. Without eSpeed last year's earnings would have been approximately $40 million. We anticipate our effective tax rate for distributable earnings to remain around 15% and that compares with 14.5% last year. Our guidance does not include any revenues or earnings in Cornish & Carey which we expect to begin seeing in the third quarter. We intend to update our second quarter outlook around the end of June 2014. And with that operator, we're ready to answer your questions please.
Operator: Thank you. We will now begin the question-and-answer session. (Operator Instructions). The first question comes from Jillian Miller with BMO Capital Markets. Please go ahead.
Jillian Miller - BMO Capital Markets: On the non-comp expenses they're trending really nicely and I expect a lot of that kind of extracting some of the synergies from your real estate acquisitions, but I was hoping you to give us an idea, assuming a steady state without any further acquisitions rolling on where would that $114 million a year ago over the course of the year. Should we be ending 2014 at more like at $110 or even below that any guidance would be helpful.
Graham Sadler: I think I would expect it to come down a little, I'm not sure that I will give you a precise number but over the course of next year -- absent acquisitions as I have said I would expect that to be -- to come down a little further.
Jillian Miller - BMO Capital Markets: Okay. But we're probably not going to see another $5 million decline like we did in 4Q to 1Q?
Howard Lutnick: I don't think I can give you; I don't want to be that precise. But it will be down a little.
Jillian Miller - BMO Capital Markets: Okay. And then the average revenue per broking person on the real estate business has improved, I guess almost 50% which is very impressive. I'm just wondering what portion of that growth is related to the improving macro environment versus what portions related measure that you as a firm have taken caution and improve technology and all that?
Howard Lutnick: Well, I think positive macro, so that helps. You have increased market share and just our brokers were winning more business that's another and then we have really over the last 15 months, we've had a sort of lesser producing brokers, last about 150 of them and we've hired really superb 150 coming in and the combination of the weakest 150 leaving and the best people joining our desk are coming in leads to a dramatically improved productivity per head. So we have the same number of head, we have the same infrastructure cost and they produce 47% more and our users can see dramatic improvement to the bottom-line and that's why our earnings were up five times. So nice macros but better outperformance by NGKF and the quality of the staff, the quality of our win, global corporate services winning more and more business we're just producing more revenue for us and our broker is winning.
Jillian Miller - BMO Capital Markets: Okay. And where do you think that productivity for the year can go overtime and are we kind of reaching its upper limit there or do you think it can go potentially higher from here?
Howard Lutnick: Right regarding that continue to study and I think it can be a little chunky the real estate business and we do some big deals this quarter versus next and that was remembered over the course of the year. I think we are studying it very closely. But we said before, we had improvements to go. I think our global corporate services business still has improvements to go and that combines the technology that BGC knows so well and the data driven aspects of the business and analysis consulting that we are sort of key on, coupled with tremendous talents in our brokerage community the brokers we have, it should lead to increased revenue breath and I think that's where we're investing in. And I think we're seeing the returns there now. So we are very excited about it. I think the team at NGKF has done really a first class job. And with the addition of Cornish & Carey coming and we really feel its great company. Just really feels very positive, very strong in win.
Jillian Miller - BMO Capital Markets: And then on Cornish & Carey, can you give us a sense for what the margins are like in that business and what impact you expect on your comp rate, your other expenses and the share count growth per quarter?
Howard Lutnick:
 : I mean, it did Google's headquarters, it did HP's headquarters, did Apple's headquarters, it has all of them. So the ability to bring those technology companies into the rest of our national fold, I think will bode very, very well for our overall system. So their economic is generally consistent but I think they will raise the economics for the overall system and we will raise theirs.
 : I mean, it did Google's headquarters, it did HP's headquarters, did Apple's headquarters, it has all of them. So the ability to bring those technology companies into the rest of our national fold, I think will bode very, very well for our overall system. So their economic is generally consistent but I think they will raise the economics for the overall system and we will raise theirs.
Jillian Miller - BMO Capital Markets: Okay. Great. And then, just on the share count, do you expect to be issuing some shares to them and or will you do something like you did a couple quarters ago and kind of buy back that dilution back?
Howard Lutnick: I think we will -- we will definitely be issuing them some shares in partnership units because it's part of our retentive nature of how we retain our staff and have all interest align together. We want their brokers to be owners of the company, we want their interest to be aligned with your. And as you saw, we will -- we're not going to try to time it day-by-day, month-by-month or quarter-by-quarter, but we will be expecting to buy back shares and units over the course of the year to constrain our share count and share growth. So it may be a little lumpy but we will opportunistically be a buyer of our stock. 
Operator: The next question is from Rich Repetto with Sandler O'Neill. Please go ahead.
Rich Repetto - Sandler O'Neill: I guess one more cut on the expenses. You get this $100 million target, can you expense reduction with the $114 million this quarter, can you tell us where we are at in regards to achievement against the 2012 run rate target?
Graham Sadler: Well, one thing you can look at is the average non-comp expenses in the second half of 2012, is actually $132 million for each of those two quarters. So I mean $114 million now, so that's $16 million different -- $18 million different.
Rich Repetto - Sandler O'Neill: So -- and we're committed to getting that to be about $25 million, another $7 million a quarter by the time we're in?
Graham Sadler: Yes. That's just in non-comp obviously where we are not only non-comp but it's all the things.
Rich Repetto - Sandler O'Neill: So the $100 million doesn't have to be in this 9 -- it doesn't have to be down by the $25 million per quarter?
Graham Sadler: That is correct, yes.
Rich Repetto - Sandler O'Neill: Okay. Well then the next --
Howard Lutnick: It can also give you an indication either what you want is visible clearly from the -- what you can say.
Sean Windeatt: Yes, there is still more to go there. But it's not whole amount, one particular line I think.
Rich Repetto - Sandler O'Neill: And then I'm little confused on could not be of significance. But on Slide 28, because we're talking about just on April revenues being down 2% and I'm not sure -- I thought you said including eSpeed and excluding NGKF?
Howard Lutnick: No, the other way round. Obviously, we don't include eSpeed, so we exclude eSpeed when you do your comparisons last year. But we're now going to do this kind of guidance including NGKF.
Rich Repetto - Sandler O'Neill: Okay. Sorry. And lastly, however, I guess you sort of talked about the real estate brokerage, broker productivity but the financial services broker activity that improved north of 47% but it did improve. And is it all from the elimination of underperforming brokers or what else should we do in there on the financial services sector?
Shaun Lynn: Hi, Rich it's Shaun. Yes, we had as we said that we -- one of the better word of private some of our broking stuff and we also cut some headcount to this underperforming and we've taken market share. It's been a great combination without doubt that we have reduced head count which we felt was will be better for us in the long run to consolidate that back as we have been showing you in the numbers, that then dropped to the bottom line made us much more profitable, because we cut cost that were attached to those brokers. You should expect to see us continue to do that throughout this year.
Rich Repetto - Sandler O'Neill: One last, stepping back the reason why I think I'm confused on this, on Slide 28 the title says monthly revenue excluding real estate services. April is different.
Howard Lutnick: What Jason what?
Jason McGruder: You're right. You're right. You're right.
Howard Lutnick: That it is one -- actually, to be fair, Rich, the bars, all the bars do exclude real estate. The only thing that includes real estate is that call up, that 2%.
Rich Repetto - Sandler O'Neill: Okay.
Howard Lutnick: I'm sorry.
Rich Repetto - Sandler O'Neill: I think I know.
Howard Lutnick: We will make that more clear next time. I apologize for that.
Operator: (Operator Instructions). The next question is from Michael Wong with Morningstar. Please go ahead.
Michael Wong - Morningstar: Are there any real technology dummy blocks or even behavioral differences that would keep staffs more or less naturally separated into dealer-to-client and dealer-to-dealer or in the end will dominate that's all -- well, all the dominant that's the all to all?
Howard Lutnick: There is a natural propensity for the sell side liquidity providers to try to have a differentiated market, so that there is a difference in providing liquidity and those who take liquidity. And the buy side understands that because if they eliminate the capacity for the sell side firms who provided them liquidity to exit their positions, then low on the whole that liquidity will no longer be provided in those buy side firms, which is there is a reason why they call them the buy side, will then capture the -- buy liquidity from other buy side firms and find themselves all on the same side each time and that will create tremendous volatility. And huge swings in the market is, all buy side firms try to get into market with no one providing liquidity and all of them trying to get out at a different time and on one is providing liquidity. So I think they will find a balance, where people respect each other for the values that they bring in order to make sure that those counterparties bring value, get appropriately compensated for bringing that value. And that is finding its way now; I didn't say it's going to be simple. But there is no technological impeding event; it is a practical one where if you attack those who provide you liquidity eventually, they won't. And therefore, you're left without it. And I think if you go ask the senior buy side people they will be able to articulate this position from a defensive perspective of themselves which is they are definitely afraid of the liquidity providers not being able to make an adequate amount of money therefore not providing them liquidity any longer. You can ask any of them it doesn't matter who you ask, the buy side firms have no interest in arming the sell side firms because they provide them a very valuable asset called liquidity.
Michael Wong - Morningstar: Okay, thanks for that. And for a while regulatory uncertainty has been commented on as impeding just general volumes and revenue brokerages. I mean, there has been quite a bit more clarity around that. Do you still believe that there are financial firms that are standing on the sidelines after more or less step rules have come up, capital rules have come out, mandatory clearing? Do you think they have enough clarity in regards to all of those rules that we are at a relatively normal level or are there still a lot of financial firms on the sidelines?
Howard Lutnick: Enormous sidelines. The crowd, it's sort of like a football game right now. The crowd is all in the stands and on the sidelines and there is very few people on the pitch. Right. There is very people on the field. It has got an enormous way to go to friction, the uncertainty, just the story I told you before, the liquidity the lack of liquidity, how do you play it, where we go, that is in every conversation we have and it restrains transactions always.
Shaun Lynn: And you also think about the huge eagles in some of the major banks at the moment. And a complete change of business plan as well as some of the personnel changes we've seen as I mentioned in my pace, in some of the major banks and say just foreign exchanges for one and the LIBOR issues that are still ongoing. You're going to see this continue for some time yet.
Michael Wong - Morningstar: Okay. So even though the rules are out people are still adapting to implementation?
Shaun Lynn: Yes.
Operator: The next question is from Niamh Alexander with KBW. Please go ahead.
Niamh Alexander - KBW: Shaun, if I could just go back to those comments about your dealer customers changing, because we are -- we concur we are seeing still like fixed income groups being drastically shrunk and now FX and it has been reached for a while and it is still is a lot of the rates area. We don't know if it is done. So, net-net, are you starting to see some of the new dealers emerge? Because there is, as you say, going to be a need for market makers and for liquidity especially as rates start changing and buy side activity needs to pick up. So where are you seeing maybe some signs of new dealers, new liquidity providers emerging? I mean US is much less of a democracy than in Europe. So are you seeing some signs in Europe? Are you starting to see more of a pickup in activity over there yet? And what can you share with us on that?
Shaun Lynn: I mean across the board in all active classes you've seen the emergence of more counterparty new counterparties or counterparties that have been at it for many years that are changing tax and looking at more of an aggressive role because they can't get all the liquidity that they're looking for from the sell side. And some of it are sort of second and third tier counterparties, it's an evolving landscape as some of the dealers fall out to some of the major banks and lose a lot of the hedge funds that are looking to pick up and take over some of the opportunity that are there from creating liquidity and giving liquidity. But you would certainly see it from high frequency traders. Yes, there is a lot of those that are coming to the market and picking up from and taking over from some of the liquidity is needed in the marketplace and they are connecting to the brokers and you should expect to see those guys come online throughout this year. And I think it will be -- it's a challenge because there is a lot of work that need to get done with regard to connectivity and the technology that surrounds that for us that plays to our sweet spot, because we have that technology and it is effective for us and fast. And we've proven that over the years. For us, it's something that we welcome; we are looking forward to growing and developing.
Niamh Alexander - KBW: Okay, that is helpful. Thanks, Shaun. I guess you just led into the next question just on high-frequency trading, the topic du jour. I mean your eSpeed platform probably had the biggest proportion of HFT business. But what other parts of your business do you have may be exposure to this customer group and help me think about what lines of revenue you should be looking at. There could be -- the issues raised publicly seem to be predominantly focused on equity market structure. But if there is some pressure on the group and other profit or other profit lines, may be pressure is what they are doing with you guys as well. So what parts of the business are you in? Can you give us a sense of maybe what size they are? And was it eSpeed where they were kind of the dominant source of the flow there?
Shaun Lynn: Yes, really it was eSpeed they were very vey dominant in with regards to the legacy business that we have at the moment. Yes, they're coming into the market basically very small at the moment.
Niamh Alexander - KBW: Okay, so not a really big source of revenue. And then if I could just go back to the SEF landscape. The mandate took effect, there are all of these exemptions so that I think due to expire, very, very soon and then there seems to be a bit of regulatory arbitrage going on. So how comfortable do you feel that you are going to be one of the top three SEF in the rate specifically because that is your kind of market corner, as it were? So how do you make sure that you are still one of the top three when we do get past all of these question marks and issues of eventual use of the SEF?
Shaun Lynn: Well I think we are confident that we will be successful and that we think the opportunity there is tremendous for us overtime. There are continues to be uncertainty as to the international ability how do you business offshore versus onshore. There is tremendous uncertainty still on what the specific things mean and how do they get from the regulators what this mean, what this mean. This is a river with lots of jagged rocks just may be a streams at the beginning and then someday it will be a well-worn river with smooth things but right now it is new, it is rough and it is difficult for people to navigate and I think that overtime the business will include the business that currently exist between banks and their client. And that business is so, so gigantic as compared to the interdealer broker space that any small percentage of it that falls towards us and the gigantic growth of what was interdealer broker will become intermediation of various lot of categories will mean that the person comes in first, second or third, or fourth or fifth or sixth or seventh or eighth or ninth will make much more money from the interdealer brokers of the past. I think the opportunity coming our way is great and therefore our ability to make more money as a company will please our shareholders I think is superb and we really like the opportunity, we like our technology, we like our position, we are very fine with our management and so we think we are going to do very, very well.
Niamh Alexander - KBW: Okay, fair enough. I mean, Howard, even with say one very big platform in there with just a flat fee irrespective of how much you are trading, you still see a big data to client opportunity for the interdealer brokers?
Howard Lutnick: We are good at helping people execute their transactions. That's what we're great at and we hired the best people to do that and we grow technology and we understand and I think we will be a player in the space and how that falls out and who gets what share and how it works out, we don't know but we do know the clients well and we knew service well. And if you know clients well and you know service well likely category is that we will have great performance. So we are -- we like our position and we like the opportunities coming and it is a step-by-step process.
Niamh Alexander - KBW: Okay, thank you. And then just lastly, just for Graham and just on the distributable versus the GAAP. So one of the big differences there is -- and I'm sorry if I missed this before -- but you are not allowed to include the GAAP earn out -- you are not allowed to include the NASDAQ earn out on a GAAP basis, is that correct? But you do include it on a distributable earnings basis?
Graham Sadler: Yes. Then I would have say we have first started in Q3, right, and then we market-to-market each quarter. In the -- in our distributable earnings, we effectively spread it over the remaining quarters.
Niamh Alexander - KBW: Whereas on a GAAP basis you just included one quarter of the year?
Graham Sadler: Whatever (inaudible) we have to. We just have to market it to market.
Niamh Alexander - KBW: Yes, yes. But it still flows through the P&L on a GAAP basis?
Graham Sadler: Yes.
Operator: The next question comes from Patrick O'Shaughnessy with Raymond James. Please go ahead.
Patrick O'Shaughnessy - Raymond James: So kind of building off of the questions on stats, and so even if kind of one buys in the premise that there can be multiple winners in the SEF landscape and that the overall volumes are going to accelerate quite a bit as more people get on platforms and it just broadens opportunity besides interdealer brokers. I think that one of the concerns out there has been that SEF pricing has come in a lot lower than what people expect and that you have competitors out there with different business models that can basically price their transactions at very low rates. So with that in mind, how comfortable are you that the actual revenue opportunity will be meaningful and that you will be able to price your trading capabilities appropriately for what you think you are providing?
Howard Lutnick: Well, historically, we have had a broad category of pricing across our products. We've had the most liquid to the least liquid, low price to high price. We're technologically capable. And we can do high touch, higher margin. And we can do technology and liquidity and speed and connectivity as another feature. So we are confident that over the -- this great landscape or great rainbow of products that would fall under the SEF category that there are all of those types in there. There are going to be some that are low price, high speed and there are going to be some that are in liquid, big spread, low speed, and service related. And where you put each product category in that continue -- and I promise you this. No one has the answer to all of that. But some of us have the answers to some of that. To actually analyze all the IDBs, we put them altogether. While we all act like we compete with each other, we actually looked at each segment and how we do, most of us are two in every segment, right. But there are so many different segments and so many different areas that we think the opportunity to say the word SEF, to suggest that that the blanket that covers more than just your toes, right, is just an -- it's just an overstatement, it is just gigantic each of these right these are -- each desk, each area, each concept is slightly different. And so I think there is just much more new ones to the word SEF. And I do not think this stuff is new. I think what's happened is, it's pushed the bank to dealer business into a more open playing field. It has not really touched the bank to bank business and that combination leads to opportunity as far as we can see from here. We have the technology, we have the relationships, we have the connectivity, I think we win. What number we come in and what's the scale of that victory, I don't know and I can't say. But we at this company are confident that with our resource and our scale and our ability to invest and our ability to deliver service to clients and they know we can, I think we're likely to win.
Patrick O'Shaughnessy - Raymond James: And I guess speaking of the broad umbrella of SEF and all the different things that it can include, any update on the ELX? I know it has kind of been a hedge of yours in some ways. Any progress in terms of new things that it might trade or new people signing up to use the platform, et cetera?
Howard Lutnick: We -- ELX is in talking. We have meetings. We -- and most of our meetings are extremely well attended and extremely well focused. This is exactly the point where people consider what is the change that they want for the business, what is emerging and what is possible and they think about it and they examine it and the signup for it. So I think we have -- you saw flurry of activity towards the end of the year, early this year. And then, as people sort of qualified for it and checked on it and now they are building it into the systems to connect to others. So I think ELX remains a long option, an opportunity, it's an option, it's build in dark glass structure now. It's part of our mix. And if it emerges as a winner, it could be a gigantic winner, but wherein, I don't know. Let's call it the second mile of the marathon, all right. A longtime running got a great asset and it's a great option. Well it's worth today? It's worth making sure we keep that option. But can we win, can we spend time and effort and energy on it, we do. Do we think it is likely to succeed, I can't say that. Do I think I'm delighted to own that assets and drilled with the optionality of it, sure.
Patrick O'Shaughnessy - Raymond James: Got you, thanks. And then on Remate, can you just kind of give a little bit more color on exactly kind of which types of products they do well in and what sort of trends we have seen in those products?
Shaun Lynn: They may focus a bit on credit and rates. They are the premiere and leading broker in Mexico. We've been doing, and we've had an arrangement we've been for many, many years trusted partner with us any corresponding agreement with them. The big managing group are world class. They've been in the market for many, many years. Jacques Levy who leads Remate is an amazing manager who has grown the business dramatically over the years and has continued to spare the forefront of the broking industry in Mexico. And they also have an office here in New York and we are very, very proud and pleased to be able to reach an agreement with them to acquire them.
Patrick O'Shaughnessy - Raymond James: Okay, that is helpful. Thanks. And then last one for me, so as we thought about your commercial real estate business historically it seems like first quarter is the softest quarter of the year and then you have a pretty nice rebound as the year progresses. Would you still expect that to be the general case in 2014?
Howard Lutnick: I feel that first quarter was much better than we expected. So I doubt you will see the big giant pump because we just had a much better first quarter. So I think it will be, it goes up. I'm not predicting that because that went up, the whole year went up. I think what we're saying we just substantially outperformed in the first quarter and I think the second quarter would be more consistent as we expect from a much bigger and much better stronger company and then I think you will see in third quarter as we go towards the second half of the year again a substantial bounce.
Operator: We have no further questions at this time. I would like to turn the call back over to Howard Lutnick for closing remarks.
Howard Lutnick: Well, thank you all for joining us today and we look forward to speaking to you next quarter. We are hosting our Analyst Day on May 29, and if you like to watch that that would be available via webcast. We look forward speaking to you next quarter. Have a great day today everybody and thank you for spending the morning with us.